Operator: Welcome to the Ardagh Metal Packaging S.A. Third Quarter 2022 Update Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Mr. Stephen Lyons. Please go ahead, sir.
Stephen Lyons: Thank you, operator, and welcome, everybody. Thank you for joining today for Ardagh Metal Packaging’s Third Quarter 2020 Earnings Call, which follows the earlier publication of AMP’s earnings release for the third quarter. We have also added an earnings presentation on to our investor website for your reference. I am joined today by Oliver Graham, AMP’s Chief Executive Officer; and David Bourne, AMP’s Chief Financial Officer. Before moving to your questions, we will first provide some introductory remarks around AMP’s performance and outlook. Remarks today will include certain forward-looking statements. These reflect circumstances at the time they are made, and the company expressly disclaims any obligation to update or revise any forward-looking statements. Actual results or outcomes may differ materially from those that may be expressed or implied due to a wide range of factors, including those set forth in AMP’s most recently filed Form 20-F with the SEC and any other public filings. AMP’s earnings release and related materials for the third quarter can be found on AMP’s website at ardaghmetalpackaging.com. Information regarding the use of non-IFRS financial measures may also be found in the Notes section of the earnings release, which also includes a reconciliation to the most comparable IFRS measures of adjusted EBITDA, adjusted operating cash flow and adjusted free cash flow. Details of AMP’s forward-looking statements disclaimer may be found in AMP’s earnings release. I will now turn the call over to Oliver Graham.
Oliver Graham: Thank you, Stephen. We experienced a challenging third quarter of 2022. While global shipments increased by 9% compared with the same period last year, earnings were below our expectations. Profits were impacted by a softening in demand conditions relative to our forecast in both Europe and the Americas, together with a reduction in fixed cost recovery. We expect these conditions to persist through the fourth quarter and into the first half of 2023. In response, we are taking a disciplined approach to managing our costs and capacity, including near-term curtailment of some of our production footprint. We are tightly managing our inventory and have further flexed our growth investment program. Near-term demand headwinds reflect further weakening in the hard seltzer category in North America; inflationary pressures across core categories, including CSD and sparkling water; and further weakness in the beer category in Europe. However, the secular trends underpinning the attractive growth outlook for the industry remain unchanged. Those secular trends have continued as evidenced by, firstly, consistent share gains for the beverage can relative to other packaging substrates. Secondly, the mix of innovation with over 80% of new products favoring the beverage can as their package of choice. And thirdly, ever increasing engagements with customers to help them enhance their own sustainability profile based on the infinitely recyclable nature of the beverage can. It is worth remembering that in 2019, before the pandemic, before the multiple supply chain challenges we faced, a war in Mainland Europe and now a 40-year record level of inflation, the North American market grew at 3.5%, Europe at 6% and Brazil at 14%. The fundamental drivers of that growth have not changed. These include the growth of categories packed in cans such as energy drinks, the beverage cans effectiveness as a package to maintain beverage quality and communicate to the consumer, the beverage cans efficiency has reflected in a very low cost through the supply chain and the strong sustainability credentials of the can based on its high recycling rates and levels of recycled content. In addition, the beverage cans performance has always proven resilience through economic cycles. So while we are in unusually uncertain times for forecasting, as we look out to 2023, we anticipate market demand growth in all our markets at the level of low single-digit percentage in North America and’s Europe and mid-single-digit percentage for Brazil. In summary, we are confident in the beverage cans enduring secular growth tailwinds and the maturity of our investment program leaves us very well placed to serve this growth. At this time, we’re focused on managing through a complex operating environment. In addition to a disciplined management of our footprint and our operating costs, this includes addressing our energy requirements, recovering exceptional inflation and progressing our sustainability agenda. On that agenda, we were delighted to recently gain approval from the science-based targets initiative for our greenhouse gas emissions reduction target and to be awarded an improved EcoVadis platinum rating as part of the wider ADA Group, positioning us in the top 1% of companies assessed. We recently published our sustainability update report, and we’re also cosponsors alongside Crown at the Global Aluminum Cans Sustainability Summit in Rome, bringing together organizations globally from across the aluminum beverage can value chain. Turning our attention to AMP’s third quarter results. We recorded revenue of $1.2 billion, which represented growth of 21% on a constant currency basis, predominantly reflecting the pass-through to customers of higher input costs and strong volume mix growth. Adjusted EBITDA of $140 million was 15% lower than the prior year on a constant currency basis. This is principally due to input cost headwinds, partly offset by favorable volume effects from the group’s growth investment program. Total beverage can shipments in the quarter were 9% higher than the prior year with growth well spread across our global footprint, supported by the contribution of our growth investments. Specialty cans represented 46% of global shipments in the quarter, up from 44% in the prior year quarter. Our specialty mix was higher still at 62% in the third quarter, inclusive of 50 centiliter cans in Europe, where some of our competitors include in their definition of specialty cans. Looking at AMP’s results by segment and at constant exchange rates. Revenue in the Americas increased by 23% to $680 million, mainly due to the pass-through of higher input costs and favorable volume mix effects. Shipments were 10% higher than the third quarter of 2021, with increases in both markets, driven by growth investments and improved momentum in Brazil. In North America, shipments grew by a high single-digit percentage for the quarter. Growth was particularly strong in carbonated soft drinks, but with some softness in sparkling water and continued pressure in the hard seltzer category. Our new capacity additions continue to support shipment growth, but the near-term growth outlook is softer as higher retail pricing for our product impacts on demand, resulting in ongoing customer destocking. As we emphasized on our last earnings call, we have added increased flexibility to our network, and we will manage our capacity in a disciplined manner to match supply and demand conditions, including near-term curtailment actions and further measures in 2023. In Brazil, third quarter shipments grew by a low-teens percentage, outperforming the market, which returned to high single-digit growth. Our outperformance reflected customers seeking to diversify their supply. Adjusted EBITDA in the Americas increased by 2% to $102 million in the third quarter. Strong volume growth from increased capacity was largely offset by higher operating costs caused principally by fixed cost under absorption as we align production with demand. Looking forward, we expect continued strong shipment growth in the Americas as new capacity continues its ramp up in North America and as the market trends continue to normalize in Brazil, helped by an unrestricted summer period. In Europe, third quarter revenue increased by 19% on a constant currency basis to $493 million, compared with the same period in 2021. Shipments for the quarter grew by 9% on the prior year, supported by the ramp-up of installed capacity in the U.K. and Germany. Across categories, soft drinks performed well, but demand has been lower in alcoholic beverages. There was additional continued weakness in the export market for filled drinks due to elevated freight costs. We noticed a slowdown in activity towards the end of the quarter, which may indicate that inflationary pressures are starting to have some impact on consumer demand. Third quarter adjusted EBITDA in Europe fell by 42% to $38 million as input cost headwinds exceeded the contribution from higher shipments. We also incurred costs related to unusual metal valuation timing issues as a result of holding higher raw materials inventory for longer than anticipated while metal prices fell during that period. But we were able to offset this impact through positive one-off factors, and we do not expect this cost to reoccur in the fourth quarter. Looking to the remainder of 2022, shipments in the fourth quarter are likely to see a modest decline, reflecting a strong prior year comparable. As part of our actions to manage our capacity, we will not [borderline] in 2023 to balance our market needs. We are well advanced on building out our energy hedging target for 2023 and in discussions with our customers to ensure a timely, fair and effective pass-through of our energy costs. Since our last update, the near-term energy outlook in Europe has improved with gas storage levels in excess of expectations and various emerging national supports and coordinated European wide energy measures. We will continue to monitor the situation. And as we previously mentioned, the beverage can sector has historically been favored as an essential industry by government most recently during COVID. As we look ahead to 2023, the price resets within our multiyear contracts for non-metal and nonenergy input costs will benefit from a more significant uplift as calculated by the elevated PPI curve in line with current inflation levels. Turning to our growth initiatives. During the third quarter, AMP made additional growth investments of $129 million. Our investment program is now well advanced and will continue to contribute to future shipments growth. Our project delivery teams continue to deliver our investments largely to budget despite the inflationary and supply chain challenges. As previously outlined, we will be disciplined in our management of capacity and in any additions. And our objective is to match supply with anticipated demand on long-term contracts offering attractive economic terms. We are in constant dialogue with our customers to understand their needs, and we will be reactive to changing demand conditions. In response to the softer near-term demand, we are further revising our expectation for 2022 growth investment to approximately $600 million, split between under $500 million of CapEx and the remainder through leasing. This represents a reduction of nearly $500 million relative to our expectation at the beginning of the year. To recap on our -- some of our more recent growth investment activity. In North America, we started up capacity in Huron, Ohio. We are rephasing some of the further capacity to come from this project into the first half of next year. Following the previously completed expansions in Winston-Salem, North Carolina, and Olive Branch, Mississippi, we do not anticipate adding any new capacity to the market in the near term. In Europe, our near-term plans include our previously set out capacity expansions of 1 line each in Germany and France in the first half of 2023. In Brazil, an additional line expansion in Alagoas will complete in the first quarter of 2023. I’ll now briefly hand over to David to talk you through our financial position before finishing with some concluding remarks.
David Bourne: Thanks, Ollie, and hello, everyone. During the quarter, we issued EUR 250 million of perpetual redeemable nonconvertible preference shares and also successfully upsized our ABL facility by $90 million to $415 million. We ended the quarter with a healthy liquidity position of circa $1 billion, of which $583 million is in cash. This was notwithstanding an impact on working capital due to softer-than-expected demand conditions in the quarter leading to an elevated inventory position. We expect to see a working capital inflow over the fourth quarter. With our growth investment plan well advanced and further flexed, we anticipate a further reduction in planned future growth investment in 2023. Our cash outlay will also continue to be lowered through leasing activity. As such, we do not anticipate any external market financing need in 2023. Net leverage at the end of the quarter up 4.5x LTM adjusted EBITDA. As a reminder, currency effects are broadly neutral from a leverage perspective given the currency mix of our debt and our earnings. The majority of our debt has also been issued on fixed rate terms, and we have no bonds maturing before 2027. We have today announced our fourth quarter dividend of $0.10 per share to be paid later in November. This takes our cumulative dividends for 2022 to $0.40, which we view as sustainable and is in line with our guidance to pay the $0.40 within the current calendar year. As part of our share buyback program authorized in June, we repurchased a further $32 million of shares in the quarter, and this takes our cumulative share repurchases to $35 million to date. With that, I’ll hand back to Ollie.
Oliver Graham: Thanks, David. And before taking questions, I’d just like to recap on AMP’s performance and key messages. Our global shipments grew by 9%, supported by our growth investments, which will underpin future shipment growth. Softer-than-expected demand conditions in the quarter resulted in an earnings performance below our expectations, in response to which we’re further rephasing our growth CapEx, temporarily curtailing some capacity, tightly managing our inventory and planning further capacity reductions in 2023. Our growth investment plans are well advanced, and we now anticipate a significant reduction in future investments and do not expect any external market financing need for 2023. We continue to progress our sustainability agenda and are pleased with recent third-party recognition of our journey. And in Europe, we’re well advanced on the build-out of our energy hedges for 2023, continue to progress the recovery of our energy costs and look forward to greater support from the PPI input cost recovery mechanism into 2023. Despite the softer near-term global demand outlook, secular demand trends continue to support the beverage can for which we’re very well placed to capitalize. We see volume and profit growth into 2023, and we will update with more detailed guidance at our full year results. Our current view of the market leads us to project global shipment growth for 2022 of a mid-single-digit percentage. Full year 2022 adjusted EBITDA is projected to be in the order of $640 million to $650 million, assuming a euro-dollar parity exchange rate to year-end. This compares to the prior year adjusted EBITDA of $630 million on a constant currency basis. As a reminder, and as a proxy, every $0.01 movement in the euro-dollar rate represents circa $2 million on an annual basis. Our estimate compares with our previous full year adjusted EBITDA 2022 guidance of $710 million. Of the $60 million to $70 million reduction, the majority relates to volume mix effects through both a lower top line benefit as well as weaker fixed cost absorption and manufacturing inefficiencies with a similar impact expected in Q4 as to that experienced in Q3. In terms of guidance for the fourth quarter, adjusted EBITDA is anticipated to be of the order of $175 million to $185 million, which compares with prior year adjusted EBITDA of $157 million on a constant currency basis. Having made these opening remarks, we’ll now proceed to take any questions that you may have.
Operator: [Operator Instructions] And our first question today comes from Angel Castillo of Morgan Stanley.
Angel Castillo: I was just wondering if you could give us a little bit more color. I know you haven’t laid out any particular, I guess, a specific number for 2023, but you noted that you anticipate volume and profit growth. As we think about all the different buckets and levers that should be benefiting such as kind of PPI or cost recovery and pulling back on CapEx, probably, how would you kind of, you guys, describe that bridge? And could you quantify some of those buckets so we can kind of get a better sense for that profit growth that you anticipate year-over-year?
Oliver Graham: Angel, I think we’re not going to quantify all of them on this call, and we’re going through our budget process at the moment and we’ll update in more detail in February. But just to give you some of the pieces that we’ll be talking about there. And as we said, we see both volume and profit growth into 2023. We’ve given you the market guidance of what we think the market will go at, and we’d expect to outperform that market growth. And we also see that we’re going to recover ‘23 inflation in Europe over 2022. But we’re not clear at this point, depending on how that plays out, that we’ll recover some of the loss that we occurred in 2022. So I think those are 2 or 3 of the big pieces. As I say, we’re not going to get into detailed guidance on this call because it does remain an uncertain operating environment, and we want to go through the entirety of our budget process to give the guidance in February.
Angel Castillo: Understood. And maybe we can -- I guess in terms of the curtailments and the potential shutdowns that you mentioned, maybe some of that is still kind of in discussions, but could you give us a sense for maybe what kind of the size of the assets or kind of the capacity that you have envisioned in terms of the strategy, potential curtailments and -- both in North America, but then the shutdown in Europe?
Oliver Graham: Yes. So I think we could see $1 billion to $2 billion of capacity curtailed in North America next year. We could see up to $1 billion mothball in Europe next year. So it’s that order of magnitude as we make sure we balance supply with demand. We’re very focused on remaining in the 90s utilization rate and maintaining a disciplined stance. And so we’ll be doing that in both markets.
Operator: Our next question comes from Anthony Pettinari of Citibank.
Anthony Pettinari: Just following up on Angel’s question. I think at the time of the listing, you outlined the path to maybe 60 billion units of capacity by 2024. Obviously, there have been a number of adjustments kind of along the way. With the curtailments and with the decisions you’ve made this quarter, could you talk about where capacity might be exiting next year or exiting 2023 or in 2024?
Oliver Graham: So I think that in North America, we’ll have completed the capacity build-out that we described at the time of the listing. I think in both Europe and Brazil, we’ll be behind that curve with some of the rephasing that we’ve done and some of the plans that we have. So I haven’t got the exact numbers to hand. We can give you more detail of those in February, but we’ll certainly be behind Europe and Brazil, we’ll have completed in North America.
Anthony Pettinari: Okay. Understood. And then just can you talk a little bit more about the cost headwinds that offset volume growth in Americas in 3Q. I think Americas balls were up 10% year-over-year. EBITDA was up, I think, a couple of million. Can you just talk a little bit more about sort of the cost bridge for the Americas in the quarter?
Oliver Graham: Yes. Look, it is all linked to volume. So I mean if you take the miss, it’s 95% linked to volume. But the 3 elements of that are firstly, the, if you like, the straight volume miss, then there’s also a significant mix effect in the volumes that we lost relative to expectations of higher margin. And then the third element, which we referred to in the cost is the under recovery of fixed costs. So we were expecting, obviously, to run more cans across the new capacity. And when you run miss cans across that capacity, you get an under recovery on your fixed cost. So it’s not an SG&A element. It’s a plant operating cost, in efficiency, driven by the lack of volumes. So you can take 95% of the miss in the Americas, which is in North America, is linked to volume.
Operator: Our next question is from Kyle White of Deutsche Bank.
Kyle White: I just wanted to focus a little bit on Europe and if you could provide a little bit more detail on some of the weakness in the quarter that you saw there. Maybe some more details on the metal valuation timing issue that you called out. And then I think you said that you noticed some deceleration in demand late in the quarter, I believe, it was because of some of the inflationary pressures. So if you could just provide more details on what you’re seeing from that standpoint going into 4Q as well?
Oliver Graham: Sure. Okay. So I think that the -- some of the trends that we saw in the first half continued into the second half, a little stronger than we’d anticipated, obviously, particularly in September and going into October. So that is weakness in the Northern European markets and particularly in beer. We saw some weakness growing in the co-pack segment. And then as the filled goods for export also continued weaker than we anticipated as we thought there will be some recovery in that. So those trends continued. And then as we said, I think just towards the end of September and coming into October, we did see some weakness, which we now are attributing more to the pressures that are on the consumer in Europe, either because they’re beginning to get squeezed by increasing energy costs or because there’s enough narrative around it in the air to know that it’s coming. And then we saw in the last few days, both 2 big beer customers reporting out and recognizing some potential demand weakness around consumer inflation. So I think that’s why we’re just signaling that is a risk, I think, going into Q4 and the first part of next year. On the metal issue, I mean, it was sort of a mid-teens dollar -- million issue. And as we said on the remarks, we managed to offset a good part of that with a number of one-off recoveries. That included some take-or-pay recovery that included some release of some energy hedges. So there were some one-off factors that meant we could offset that. And as we said also, we don’t see that issue persisting into Q4.
Kyle White: Got it. And then as we think about next year for Europe, how should we understand or think about some of the headwinds still that you’re facing regarding energy? Are you still expecting a headwind in the first half of the year? Just trying to understand, given the hedging that you have in place as well as some of the cost recovery or your proactiveness [goal for unique] energy?
Oliver Graham: Sure. Yes. So look, I think the team has done a lot of work this year and worked very hard to get energy costs recovered both in this year, in which we’re very close to the target we set ourselves and going into next year, and we’ve had a lot of very constructive conversations with most of our customers. And as a result of that, we have largely split out energy as a cost element in our contractual structures. And that means we’re confident that we’ll recover energy costs ‘23 on 2022. At this point, we don’t see ourselves recovering some of the losses from this year in 2023, but we’re hopeful as the PPI curve flattens out, which we’d expected to do next year and going into 2024, that would recover some of those in 2024. We’ve made very good progress on our hedging program. So we’ve taken a very disciplined approach to that since the second quarter, and we’re in good shape now for 2023, and we’re in dialogue with our customers about how much of the remaining open portion they want to leave open or they want to hedge out, which obviously is subject to their volume commitments and making sure that their volume commitments are solid around those hedges. So I think overall, we’ve done a good job, if not a very good job around energy this year.
Operator: Our next question comes from Arun Viswanathan of RBC Capital Markets. We can move on to George Staphos of Bank of America.
George Staphos: Thanks for the details. Ollie, David, I guess the first question I had for you if we -- could you remind us again what your expectation is for market growth and your growth in ‘23 and then longer term? And with that as the context, assuming those market and Ardagh fundamentals are hit, those trend lines, when would you expect that you’d need to add capacity, say, differently? How many years, assuming the market and your performance play out as expected? Can you go without adding new lines, new capacity, recognizing that you’ll have some latent capacity as well, 2 billion to 3 billion units worth from the mothballing and curtailments that you expect to do in ‘23?
Oliver Graham: Sure. Yes, George. So what we see going into 2023 is low single-digit market growth in Europe and North America and mid-single digits in Brazil. And then we hope that those numbers would tick up 2024 and beyond as the macroeconomic environment stabilizes, as the hard seltzer category stabilizes, which would expect to happen in the first quarter of next year. And as we see, the continued sustainability performance of the can play out without all of this operating disruption that we’re facing into at the moment. So we’d see higher growth numbers than those for 2024 and beyond. And as we said on the -- as I’ve already said on the call, I think we see ourselves outperforming those numbers in 2023. And then -- we won’t give you a specific number now. We’ll do that in February. And then I think we see there’s some reason to believe that, that could continue into 2024 as well. So with that said, I think if we go around the regions, I think Brazil is the market that might need capacity earlier than the other 2 regions. So that might well need additional capacity during 2024, but we’re just evaluating that as part of our business planning process. And then I think both Europe and North America can get through at a reasonable estimate, ‘23 and ‘24 before we need additional capacity in those networks.
George Staphos: I guess second thing then is, could you remind us, if you’ve said before or give us some input, in terms of where you sit with your contracts and when you have sort of the next stage or a relatively large tranche coming up for renewal across the regions? However you’d like to present that. .
Oliver Graham: Sure. So I mean we obviously went into the listing process pretty well contracted. And that means that it’s really the middle of the decade in any of the regions before we have any major contract renewals and actually increasingly in the Americas, those contracts are going out more into the 2026, 2027 time frame, particularly on some of our specialty contracts. So the middle of the decade is really the time that we’d expect to see some degree of contract renewal. And that’s why also we’re looking to make sure we’re in good balance by then.
George Staphos: Understood. And I guess my last question in two part and I’ll turn it over related to that. As you think about it, your discussions with your customers and where their growth expectations were relative to what’s materialized during 2022. What, if anything, are you doing differently in terms of incorporating their growth expectations relative to what you ultimately think will play out in terms of demand, in terms of how you then pivot from a capacity standpoint? And said differently, are you haircutting their expectations any more than normal based on what we’ve gone through the last 3 quarters? Or do you view most of what’s happened in terms of the demand shortfall relative to expectations, purely just consumer fatigue, consumer kind of withering because of the inflation? And relatedly, are you seeing any signs yet,we haven’t really seen it from our vantage point, but are you seeing any signs yet that your customers are beginning to promote more volume relative to what we’ve seen in the last 9, 12 months?
Oliver Graham: I think the answer to the last question is no, not really. In fact, during this quarter, we saw a major CSD player pull promotional activity out of 1 of the major retail channels in the U.S., and we saw an immediate impact on our volumes. So I think at the moment, it still looks like retail prices are rising on average and that’s working for our customers and for retailers in terms of the balance of price and volume. And we haven’t really seen anything different in Europe, we would have expected potentially going into a World Cup to start to see some more activity. But I think the input cost inflation means that our customers are still essentially prioritizing on price, which is understandable given the environment. So I think we haven’t seen any return to promotional activity yet. I think we would expect to see that going through 2023 and into 2024, once this wave of inflation is through and settled with the consumer. And so that’s why we’re hopeful for the back end of ‘23 and into 2024 that we’ll see another uptick in volumes in market volumes. I mean on the customer forecast, they are already being much more cautious, and I think they’re recognizing the uncertainty of the environment. And we are also being more cautious with their forecast, too. So I think that combination means that everybody is level setting a level below where it was. And I think that makes sense. Particularly in Europe, there is clearly some uncertainty about how the consumer will react to the inflation that’s coming through.
Operator: And our next question comes from Arun Viswanathan of RBC Capital Markets.
Arun Viswanathan: So yes, we’ve seen a little bit of slowdown here, obviously, in North America. I guess can you elaborate on that? Are you seeing that across categories? I know that a lot of folks have pointed out the weakness in seltzers. But are you seeing that also in sparkling water and coffee and teas and CSD? Maybe you can just kind of flesh out what we’re seeing and what you’re seeing in different categories?
Oliver Graham: Sure. Sure, Arun, yes, look, I mean, it obviously is a decline in growth relative to our expectations. We grew 9% in North America. But the main drivers of the gap to our expectations were indeed seltzers. So they’re down 10% year-to-date in dollar terms, and they were up by 13% in September. And Q3 is against a relatively softer comp for 2021, which was the time when seltzers first began to come off the boil in North America. So seltzers were definitely part of it, but we didn’t see any recovery there in Q3. But then it’s true that in Q3, the point I just mentioned, we did see softness in the core categories relative to expectations, again, because of pricing. So I think retail pricing rising, the pulling of promotions meant that although we’ve still got growth, we definitely had less growth than anticipated, and that was in our big core categories of CSD and sparkling water. We’re not very present in mass beer in North America, so we didn’t have any particular impact from the beer sector.
Arun Viswanathan: Okay. That’s helpful. And when you look out, I guess -- excuse me, a couple of years from now, what’s it going to really take to see some improvement? Is it a factor of better personal income levels, lower pricing or continued substrate conversion? What would you be looking for as far as factors to improve the growth rate from here? .
Oliver Graham: Yes. Look, I do think, normally, the can is a heavily promoted item at retail. And the can is an incredibly efficient way to deliver beverages to consumers. And as a result, it can support significant promotional activity, which drives our volume. So we’d expect that to be a major thing to come back into the mix once this inflationary wave is through, and that will be very, very positive for our volumes. I think the second factor is that we see over 80% of innovation in beverages coming into the can. We’d expect like the hard seltzer wave to see the next wave of successful innovation driving growth. And that’s probably particularly in North America, but we see those trends also in Europe. In Europe, we do need the overall inflationary environment to come off. Clearly, the energy situation is extreme for governments and consumers. So I think, again, once that comes off, which we hope it will, then we should see the consumer revert to more confidence and that will mean more items in their weekly grocery basket. I think we feel we’re going to be resilient in Europe to the economic environment because the can is traditionally resilient as a relatively promoted item. We also have some pack mix advantage. The LME falling was a disadvantage to us in terms of our inventory revaluation timing. But for the can in general, it’s highly positive, that LME has fallen to the levels it’s fallen because it makes it more competitive in the pack mix going into 2023. So we think that we will be resilient to that economic environment, but we do recognize the economic environment is somewhat negative. So once that comes off, I think that will also be very positive for the can. I think the sustainability tailwinds that we had will continue. I think there is increased regulatory pressure on plastics, and the plastic recycling system remains on the very great strain. Difficult to get recycled PET and it’s very high cost. And then in Brazil, we just need the market to return to what it was doing pre-pandemic, which is it was substituting very rapidly 2-way packaging into 1-way, and most of that was going into the can. And if you think that we were growing at 14% in 2019, you can see why we’re confident that we’d be over 5% going into 2024. So I think those are the 3 or 4 really big factors. And that’s why we’re very confident in the growth of the can because what we see at the moment is essentially a set of transitory issues that are impacting our end and our customers’ growth.
Arun Viswanathan: That’s very helpful. And if I could just ask 1 more question. So given that backdrop, if you were to increase your financing, what would be the avenues there? Is it further green bonds? Or what are some of the options ahead of you if you were to ratchet CapEx back up? .
Oliver Graham: I mean that would be the main one. I think that we’d look to, David...
David Bourne: Yes, I think that’s right, Ollie. So as we’ve signaled, we’ll continue to pursue leasing activity around our growth investment program to -- the green bond issuance has been our traditional regions. It remains the most likely. We have plenty of capacity within our covenants, et cetera, to be able to do that, say, plenty of levers still to pull where [ever] to need to. But just to reiterate what we said earlier, we don’t envisage needing to go there in 2023.
Operator: Our next question comes from Mark Wilde of Bank of Montreal.
Mark Wilde: How is it possible to get some sense of just order of magnitude on the CapEx number for ‘23? I mean you’ve been quite clear that it’s going down from the sort of $600 million of kind of growth capital this year, but just order of magnitude. .
Oliver Graham: I mean it’s a meaningful reduction. I’m not talking about $50 million. It’s a meaningful reduction in that -- from that $600 million. So I mean, we will give you the detail in Feb, but you can certainly take off a significant slug of the $600 million.
Mark Wilde: Okay. All right. And then just one other one. This co-located plant that you’re building down in Brazil. If we -- can you just talk with us about sort of the puts and takes as you assess doing that? Because if we think about the container industry over the last 20 or 30 years, the direction has been for companies to be kind of focused on a particular product or a particular substrate. And you’re building a plant that’s going to have both glass and metalated. So I’m just -- I’m curious about any ways in which you think that might handcuff optionality going forward. .
Oliver Graham: Yes. Mark, we should be clear, right? It’s not 1 plant. So these are 2 separate plants next door. And obviously, I can’t really comment on the glass side of the house on this call. That’s an [HSA] piece. But just to be clear on the AMP plant, that’s underpinned by a number of contractual situations, you’ve seen our growth this year in Brazil has been significantly above market. We anticipate the same next year, and that underpins the plant. So we’re confident that, that will be a good investment. We don’t have the exact timing on it yet because clearly, the market has been softer than we anticipated this year. So we’re working through that as part of our business planning process. But we’re still confident that, that’s a good investment and will be underpinned by some strong contractual positions.
Mark Wilde: Yes. And just if I could, are there like shared services at the 2 facilities? Just curious why put them together in 1 location then.
Oliver Graham: Yes, not really. So it’s more that -- well, it’s more down to the discussions we had with customers and that it obviously helps in terms of team and providing support during the build phase. But it’s not that the plants themselves have any particular synergies.
Operator: The next question is from Jay Mayers of Goldman Sachs.
Jay Mayers: I guess to follow up on the last question a little bit. So assuming a big step down in CapEx -- growth CapEx from the $600 million this year, can you talk a little bit about how you’re thinking about maybe other capital allocation priorities between shareholder returns, balance sheet. Any color you can provide there just in terms of priorities? And then I guess, kind of secondarily, as you think about the kind of leverage you’re running at 4.5x right now, which is towards the high end of your target range, but recognizing that your target is kind of off of forward EBITDA, just given growth has been a little bit slower than you envisioned, how does that kind of influence? How you think about leverage going forward?
David Bourne: Ollie, shall I pick up?
Oliver Graham: Yes.
David Bourne: Yes. So thanks for the question, Jay. Look, I think you’re right, we’re at 4.5x leverage on trailing LTM basis at the moment, I would envisage being in a very similar position at year-end at this point. That will leave us well placed in terms of liquidity going into 2023. In terms of our capital program, clearly, we’re being conservative with that capital program in terms of cash outflow spend deliberately in order to preserve our balance sheet liquidity and keep within the leverage position that we feel comfortable with for the longer term. And so we’ll continue to kind of look for opportunities to prudently manage both the balance sheet and cash conservation and look at working capital initiatives and that sort of thing. So I think there are plenty of levers at our disposal. But I think the key message at the moment is that, from a balance sheet perspective, we’re very well placed. For example, over 90% of our debt is fixed interest and term 2027 to 2029. So I think we’ve given ourselves a very stable platform with which to manage the macroeconomic headwinds that we’ve been discussing.
Jay Mayers: Appreciate that color. And I guess just as a follow-up. The preferred equity that was put in place this quarter with [RSA], can you just comment on how you kind of view that portion of the capital structure? Is that going to be permanent for kind of the foreseeable future? Or is that something that you could see once financing conditions improve? You look to maybe try to put in place a cheaper piece of debt or something there.
David Bourne: Well, I think the key attributes of those preference shares are the nonconvertible, but they are redeemable at any time. So we have full flexibility on that going forward. We have no intention to exercise that flexibility at the moment. Clearly, they are supportive of our overall balance sheet position and our liquidity. And I think from an AMP perspective represented for a good piece of paper. So yes, we’d have optionality on that and perhaps at some point in the future, but no plans in the short to medium term.
Operator: The next question comes from Ed Brucker of Barclays.
Ed Brucker: My first one, just back on inflationary pressures that have been impacting demand. Is there a switching effect that maybe you’re seeing from other products or maybe a trade down to some cheaper substrates? Whether that would be plastic or glass? Or do you think it’s more just people buying less, given that -- or less consumer products or less beverages to pay for other things like rent and gas has gone substantially higher?
Oliver Graham: Ed, yes, I think it’s more that they’re buying a bit less, and that’s because there’s less promotional activity. So when there’s less promotional activity, obviously,they’re not picking up 12 cans, they’re picking up the number of cans off the shelf instead of the promotional pack. We actually see in the data for North America that the can is still gaining share at the expense of plastic. And I think that’s very interesting because 10 years ago in similar economic conditions, I suspect you’d have seen a shift towards PET, particularly big 2-liter bottles of Cola. So I think that, that shows you the strength of the sustainability support that the can now has. And one of the reasons that underpins our confidence for the future growth of can. I think going into 2023, it’s difficult to pick exactly where we sit substrate to substrate. But all I’d say is that, again, the LME fall is very -- potentially very significant because that is a reflection of cheap energy in the Far East. And for Europe, in particular, that means that the can will be highly competitive. And so I think we’re well placed going into what will be a difficult year and potentially recessionary environment.
Ed Brucker: Got it. And my second question, just on the back of Jay’s. More directly, I guess, which lever would you pull first in order to preserve cash? Would that be just lowering CapEx to maintenance levels? Would that be turning dividends off, not buying back shares? I guess just what point of weakness would you have to see before turning off the dividend? .
Oliver Graham: Yes, we don’t see any scenario for that at the moment. So I think we’re very comfortable, as David said, within our liquidity position and within the forecast we have for cash going into 2023. The obvious right one to address is the growth capital just because the weakness then is actually because demand is lower, and we do need to balance supply and demand, staying disciplined in our industry. So that’s always where we’re going to look first and to our overall capacity to conserve our cash.
Operator: Next question is from Roger Spitz of Bank of America.
Roger Spitz: On a couple of cash flow items. On the $600 million CapEx, of which $500 million is CapEx, $100 million is leasing, does that include or exclude the $100 million of maintenance CapEx?
David Bourne: So to be clear, Roger, I just under $0.5 billion of cash business growth investment and $0.1 billion of leasing, and then there’s $0.1 billion of kind of maintenance CapEx, that’s the right way to look at it.
Roger Spitz: And then you talked about the Q4 ‘22 working capital inflow. Any way you can size that for us?
David Bourne: Yes. Look, I think it will be a significant inflow. So triple digits, and it will take us much closer to where we would expect our normalized position to be at the end of the year. Q4 is a natural seasonality inflow for the business anyway. But we’ve taken actions relatively early on in Q3 to manage our inventory position and particular actions around the raw material input to that. That means that if you look at our balance sheet, you’ll see our trade payables has fallen while our inventory has kind of held its position. You can assume the natural follow-through on that will be that in Q4, those payables and inventory position will kind of rebalance more in line with where you’d expect that long-term balance to be.
Roger Spitz: Got it. And lastly, it shows the preferred shares are payment of the dividends at your discretion. Is the dividend? Is it a cumulative preferred where if you miss a quarter, you make it up later on?
David Bourne: That’s correct.
Operator: The next question comes from Rachel Fox of Guggenheim Partners.
Rachel Fox: Could you give some color as to what overall industry manufacturing capacity look like in both Europe and North America back in 2008 and 2009? And how those capacity utilization rates compared to today?
Oliver Graham: Yes, I have to -- I don’t have the exact numbers to hand. But to the extent, maybe to give some color on what happened during the financial crash is that there was some deterioration in demand in Europe. So I think in 2008, the market went down a few percent, low 2%, 3%. But then the following year grew by 5%. And I think utilization rates remained in a good place. North America, I think, was less impacted though at the time, obviously, was a lower growth market. What’s different about this time is that there is inflation, which is impacting consumer demand. So I think it’s a different environment. But overall, we see the resilience of the can to these kind of economic downturns because firstly, the consumer moves from out-of-home consumption, restaurants, holidays, bars to at-home consumption. And then within the at-home consumption, the can is pretty resilient. So yes, that’s why I mentioned a few times that I’m relatively confident in our 2023 outlook despite the uncertainties in the environment.
Rachel Fox: And just on the energy cost inflation, you previously spoke about the recovery through the surcharges and thoughts presents to the customers and pay those surcharges in the end?
Oliver Graham: I don’t have the percentage of customers, but we recovered pretty much in line with our expectation, which was around 50%, 60% of what we suffered in this year. And then going into next year, we’re getting up to a very high percentage of our customers who’ve accepted what we believe is a very fair and exitable way to pass-through the exceptional situation that we’re all facing in Europe because we only put it through when it time, we’ll take it out again when it falls, which it will. And therefore, there’s no ongoing effect of it for our customer base.
Operator: Our next question comes from Eric Seeve of GoldenTree.
Eric Seeve: Your guidance implies a nice sequential increase in EBITDA from Q3 to Q4. Can you talk about the factors that you’re seeing that lead you to that conclusion?
Oliver Graham: Sure, yes. So I think there’s 3 or 4 factors. So firstly, in Q3, we talked about some of these metal impacts, even though we offset them. We don’t see those reoccurring and we didn’t -- we weren’t able to offset them all. We see ongoing energy recovery in Europe with the efforts we’ve been putting in there. We see a good position in Brazil, again, with some of the customer growth and the mix. And we see some overall mix effects in our volumes, particularly in North America. So there’s 3 or 4 factors that lead us to see an improved performance in Q4 versus Q3. I’ll just check with David, I didn’t miss anything out there.
David Bourne: Yes. No, I think that’s right. Obviously, some of our capacity is even further up as well, so that may support the volume number quarter-on-quarter. .
Eric Seeve: Okay. And you mentioned it sounded like -- subsequent to the quarter in October, you saw some more deterioration. It sounds like it was mostly in Europe. Have you factored this into your outlook? And what specifically is your expectation for European volumes in Q4?
Oliver Graham: Yes, we put that in the outlook part of the reason for the range. And we -- I think we mentioned, we do expect Q4 European volumes to be negative relative to Q4 ‘21. Q4 ‘21 was very strong in Europe. And traditionally, European sales in Q4 are down a bit. We take -- typically take some stoppages. We’ve not done that for the last few years. So it’s really a reversion to some normality there as well. But we do see a slightly negative growth path, and we did include in that some conservatism based on what we’ve seen in the back end of September and early October.
Eric Seeve: Okay. And did you see a corresponding weakness in North America over that time frame as well or no?
Oliver Graham: I mean we’ve seen weakness in North America and some of that definitely came through in September, but it was just a slightly different reason, which is more around the sell to market. As I said, it was minus [13] in September, relative to minus [10] year-to-date. So there was some further weakness. And then also this removal of promotional activity by some of the big CSD players. So we also took that into account, but we saw that weakening at the back end of September.
Eric Seeve: Okay. And what’s the expectation for North American volumes in Q4?
Oliver Graham: We still see growth. I mean, we’ve got capacity coming through, but I don’t have the exact number. So we still see growth in Q4 over Q4 ‘21.
Eric Seeve: Okay, great. And then last one for me. On the energy side, do you have a sense of how much of a headwind energy is to EBITDA in ‘22 and expectations for ‘23?
Oliver Graham: 2022, I think we were at the order of $50 million, of which we offset...
David Bourne: Of which we offset 50% to 60%.
Oliver Graham: Yes. In 2023, we’re not expecting a headwind from energy because of the way we’ve worked with customers to split that out and make it linked directly to the cost of energy. And we’ve also got a significant hedge position in place that’s giving our customers good certainty on what that number looks like.
Eric Seeve: Okay. And in terms of the -- just a follow-up on the hedging part, it sounded like when you’re formulating your hedge book, you’re doing that in concert with your customers. Do you have contracts with them that, at this point, you know will -- you’ll be able to pass along the energy cost, you’re hedging, you’re locking in via those hedges?
Oliver Graham: Yes. So that’s what the work we’ve been doing this year is to split energy out as a separate item because it was so exceptional. And also, to be fair to customers, to be clear that we weren’t trying to take anything on it, we were just dealing with this exceptional situation caused by a war. So we split it out. It’s very transparent the way we’ve done that. And we’ve also kept certainly big customers up-to-date on our hedge position, and then we’re in dialogue with them about what they want us to do with the open portion. And again, that does also link to their volume commitments because we obviously don’t want to be overhedged. We do have a number of support schemes coming into place now, U.K. and Germany, which we also think will help the overall situation. So we think we’ve got very good transparency now on energy into 2023.
Operator: Our next question is from Gabe Hajde of Wells Fargo.
Gabe Hajde: If we can kind of -- I don’t want to go through a whole teach-in on contracts and how they behave. But just I’m curious, Oliver, having with through kind of when there’s been too much capacity in the market, your customer commitments and contracts, I sort of look at them more as supply agreements, and you don’t necessarily have 100% of their volumes locked up. There’s -- they have the flexibility or the ability to go out and maybe dual source or what have you. So can you give us a sense for within your contracts, supply agreements, how much flexibility there is on behalf of the customer to go out and, call it, buy in the spot market and again, kind of coming from [indiscernible] and moving through other times? How does that work in terms of -- do they come knocking on your door as a supplier and say, "Hey, can you help me out?" Just curious.
Oliver Graham: Sure. So look, I think many large customers will have dual supply or even 3 or 4 suppliers either because of geographic location or to de-risk their business. And they will give guidance on the volumes expected either through giving dedication to a filling location or giving some sort of overall guidance for geography. And then -- so relatively few of them are, if you like, buying on spot because they will have those contractual positions in place because they want to be protected and make sure that their business can confirm that marketing has got the cans that it needs. And I think what we were clear about during the listing process is that we have a range of commitments around those volumes and those range from rebate-type structures where customers lose money by not taking their full volume allowance right through to take-or-pay. And those are contracts, particularly the take-or-pay or the minimum volume legal requirements were put in place, particularly in North America, both because of the size of the growth that we saw in North America and because of the uncertainty of some of that with some other players, and because the market was extremely tight. And so it was possible to get those kind of contracts through. And that was a very significant upgrade to the contractual structures that historically had persisted in North America. And I think Europe and Brazil stayed more with traditional rebate structures because there wasn’t that same level of growth. So we have now a number of situations where our customers do have very firm commitments with us and obviously, some of them are missing them. And so we’re in very active dialogue with customers about those clauses and getting recovery on them because we think that’s fair and appropriate that we are recompensed for the capital we put in the ground, and we don’t think that impacts an ongoing constructive commercial relationship. So that is in progress. We’re not going to give a running commentary on that. And we’re obviously doing that in a very constructive way with our customers. But those types of contracts were put in place and they are relevant for this environment.
Gabe Hajde: I appreciate the transparency there, Ollie. And then 1 question, I guess, on leverage and cash flow. If we are looking at 2023, opt cash flow, less CapEx, I don’t know, maybe I put a $400 million in there for CapEx, and you guys are cash flow neutral, let’s say, on an operating basis and then with dividend and maybe some share repurchase burning cash. Would you expect to be at the same leverage rate kind of at the end of 2023 or below, obviously, with the earnings growth that you referenced during your prepared remarks?
David Bourne: Yes. No. Look, I think once we’ve gone through our budget exercise and present back in February, we’ll be able to give you a bit more precision on kind of our leverage projection for the end of ‘23. And clearly, part of that leverage projection is EBITDA too, right, say. You have to wait a little bit longer for that. But I think the reassuring message is the one around kind of where our balance sheet is today, will be at the year-end, and that we are very focused on preserving our liquidity and leave us in a strong position for weathering the short-term impacts we’re seeing.
Gabe Hajde: Okay. And one last one, if I may,I organized late in the call. Specific projects on the list, I think Ollie, your referenced maybe delaying a line in Huron. I just want to make sure that was originally expected to be 3 lines. And then we’ve seen an announcement from some local officials about a new plant in Ireland. So I’m curious if that’s one that you’re talking about delaying? And then again, it sounds like Arizona is sort of indefinitely postponed. .
Oliver Graham: No. Look, I think that’s fair in Arizona, I think that until we see the capacity in North America come back into balance. That isn’t needed, and that is going to take a bit of time. But obviously, long term, we still have positive views on the region and the customer base. But yes, I think it’s fair to say that at the moment, we don’t have a timing on that. Huron, that capacity initially was planned to come up at the back end of this year, and now we’ll slip into the first half of next year. In Northern Ireland, we’ve actually had some natural delays on that project. We’re in discussion both with the contracting and with customers about timing for that. So I don’t have an exact date for that at the moment. But clearly, we did get planning permission, which is why there’s been some announcements in the press.
Operator: And as there are no further questions, I’d like to hand the call back to Oliver Graham for any additional or closing remarks. .
Oliver Graham: Thank you, Kevin. So thanks to everyone on the call for your interest in AMP. Just to summarize again, our shipments grew 9% in the quarter versus the prior year period, but earnings were below expectations. That was because of softer demand conditions and higher operating costs. We’re taking action around that, which we talked about at length to align our supply with demand and improve our efficiency. And as we said in Europe, we’re looking forward to a good recovery of our input cost inflation into 2023. I think as we said a number of times on the call, we remain very confident in the secular demand trends that support the beverage can, and we see as we come through this difficult macro environment in 2023 that we’ll see stronger growth into 2024 and beyond. And as we put in place our investment program, we’re very well placed to take advantage of those trends. So thanks for your interest, and we look forward to talking to you again at our Q4 results.
Operator: And that does now conclude today’s conference call. We thank you all for your participation, and you may now disconnect.